Operator: Ladies and gentlemen, welcome to TotalEnergies' Third Quarter 2025 Results Conference Call. I now hand over to Patrick Pouyanne, Chairman and CEO; and Jean-Pierre Sbraire, CFO, who will lead you through this call. Sir, please go ahead.
Patrick Pouyanné: Good afternoon, good morning, everyone. Before Jean-Pierre goes through the details of the third quarter results, I would like to make a few opening comments. Almost exactly 1 month ago, we updated you our strategy during our Capital Markets Day in New York, and we had 4 key messages: consistency and resilience of our 2-pillar strategy, strong and secure production growth in our Oil and Gas business, accretive cash flow generation and capital discipline. I believe that this company strong results -- for third quarter results, but again, Jean-Pierre will detail with you, perfectly illustrates these key catalysts and highlights the value proposition of our consistent and profitable growth model. Strategy is clearly in motion and is translating into more cash flow even in a more challenging environment. Indeed, despite oil pricing dropping by more than $10 per barrel year-on-year, the cash flow for the third quarter increased by 4% and adjusted net income for the third quarter held steady. Why? Primarily for 2 reasons. First, the hydrocarbon growth -- production growth is a reality and is highly accretive. The new project barrels coming online, such as Mero Fields in Brazil, deepwater projects in the U.S. offshore, going for oil, Tura and Phoenix for gas have an average cash flow margin, which is roughly twice higher than the base portfolio, and they have contributed 170,000 barrels per day during the first 9 months of 2025 compared to 2024. These new barrels have generated around $400 million of additional cash flow year-on-year. So growth volume around $200 million and higher margin, another $200 million. And so they have contributed to absorb the equivalent of $6 per barrel of decrease in the Brent in terms of cash flow. So that's, I think, a strong demonstration that of disciplined investment framework that includes strict sanctioning criteria, less than $20 per barrel, technical cost of $30 per barrel breakeven for E&P projects is delivering its fruits. And we expect, of course, that this cash flow tailwind from new high-margin barrels will continue as we work our way through our deep project queue. As a reminder, starting from '25, continuing in '26, the company is growing upstream production by 3% per year through 2030. And what is the differentiation factor that the standout of our business model is clearly that more than 95% of this production by 2030 is already either online or under construction and largely under lump sum EPC contracts, which seems to significantly derisks the cost. So our projects are in hand, and we are executing them. And again, this year and this last quarter demonstrate that we are well in the delivery mode. Some people think we are borrowing, but we are borrowing for the good. Cash is growing. The second pillar of these good results have been the recovery of the downstream, which contributed to the company's resiliency with cash flow up by almost $500 million. It is true that the refining margin were better. It's also true that we managed to capture them, thanks to a good availability of our assets. We -- and in particular, there were several turnarounds during the quarter, but they were executed in time, in schedule and in budget, and it allows us to reach our objective. And of course, Marketing and Services continue to deliver consistent results and demonstrated by the priority given to value over volume in this segment is the right approach. In addition to highlighting the strength of our consistent strategy, this third quarter demonstrates as well that we are delivering in the short term, specifically on the second half of 2025 plan that we laid out during the July earnings call, which included 4 key elements. Again, the accretive production growth, giving more cash flows, the downward inflection in our net investments coming back to the capital discipline, which decreased by $3.5 billion quarter-over-quarter, a reversal of the seasonal working capital as we have released this quarter of $1.3 billion. And lastly, of course, all these elements improved the gearing that is now close to 17% compared to next to 18%. So the end result is that during the third quarter at $69 per barrel, the company generated excess free cash flow. With cash flow, including working capital variation, more than covering net investment plus $4.5 billion of shareholder returns in the form of dividends and buyback. It's leading me to shareholder returns. The company, of course, continues its strong track record of dividend growth. The Board of Directors decided to increase the first interim dividend of close to 8% in euro and more than 10% in dollars as compared to 2024. On the buyback side, as announced on September 24, the Board of Directors authorized up to $1.5 billion of share buyback for the fourth quarter of 2025. And therefore, assuming annual cash flow between $27.5 billion and $28 billion, in particular, supported by the better refining margin that we observe currently, the 2025 payout ratio is expected to remain around 56%. Looking forward, we expect to maintain a strong momentum for the fourth quarter. Upstream production is anticipated to grow more than 4% year-on-year like this quarter. The net investments are expected to decrease quarter-over-quarter, in particular, because we will deliver the disposal proceeds, $2 billion are expected. And at the end, the net of acquisition will represent $1.5 billion of inflow -- cash inflow in the balance sheet. And that with another anticipated positive contribution from the seasonal working capital, we anticipate to continue to strengthen the balance sheet with gearing forecasted further decline to 15%, 16% at year-end. Last but not least, we have -- Board of Directors has approved the road map to transform our ADRs into ordinary shares. And we're happy to announce that we ordered today, JPMorgan, to launch the termination process of the ADR program with the objective that ordinary shares are expected to begin trading on the New York Stock Exchange from December 8. This is, of course, an important milestone for the company as it will allow for a single class of TotalEnergies shares to trade with extended hours. It will be essentially a continuous listing from Paris 9:00 a.m. to New York 4 p.m., 10:00 p.m. Paris time. And we hope that this ordinary shares listing will be a clear catalyst for the stock in 2026 in both Paris and New York markets, and we intend to market these ordinary shares on the U.S. market even more actively than today. I will now turn the call over to Jean-Pierre, who will go through the details of the third quarter financials.
Jean-Pierre Sbraire: Thank you, Patrick. I will start by commenting on the price environment in the third quarter versus the second quarter. Brent averaged $69 per barrel during the third quarter versus $68 per barrel in the second quarter, up 2%, but down more than $10 per barrel compared to the third quarter of '24. ETF averaged $11.3 per MMBtu versus $11.9 per MMBtu, down 5% and the average LNG price decreased to $8.9 per MMBtu versus $9.1 per MMBtu, down 2%. On the other side, for refining, the European refining margin significantly improved to $63 per ton compared to $35 per ton during the second quarter, up close to 80%. In this price environment, the company reported strong financial results with third quarter '25 cash flow increasing by 7% compared to the second quarter and adjusted net income increasing by 11%, thanks to the continued positive impact of the new attractive upstream barriers and strong downstream results that reflect the company's ability to capture higher refining margins in Europe. Overall, profitability remains strong with return on equity for the 12 months ending September 30 at 14.2% and ROACE close to 12.5%. Moving now to the business segments, starting with hydrocarbons. On a year-on-year basis, third quarter hydrocarbons production exceeded expectations and increased by more than 4%, making it the company's highest growth quarter so far this year. We anticipate that this trend will continue with fourth quarter hydrocarbon production expected to grow more than 4% compared to the fourth quarter of '24, notably benefiting from the restart of Ichthys LNG in Australia. Turning to the quarterly results and starting with Exploration and Production. This segment generated during the third quarter of '25, an adjusted net income of $2.2 billion, up 10% quarter-over-quarter in a similar price environment and outpacing quarter-over-quarter E&P production growth of around 4%. Similarly, cash flow growth was strong at $4 billion, up 6% quarter-over-quarter. Importantly, our project portfolio is delivering new low-cost, low-emission oil and gas production that is accretive with an average upstream CFFO per barrel that is roughly 2x the base portfolio. Regarding the E&P projects, we are progressing on all fronts. On the project side, we achieved first oil at the Begonia and CLOV 3 offshore fields in Angola, and we sanctioned Phase 2 of the redevelopment of the Ratawi oil field in Iraq, which is part of the GGIP project. As we have now launched all phases of GGIP, we are looking forward to the first oil for Phase 1 of the redevelopment early '26. On M&A, the company is consistently high-grading its portfolio. During the last earnings call, we mentioned that we are expecting several E&P divestments in the second half of the year. And during the third quarter, we divested 2 international blocks in Vaca Muerta in Argentina, which closed this quarter and 3 satellite fields in Ekofisk in Norway, out of our strict investment criteria, which is expected to close in the fourth quarter. And lastly, on exploration, we continue to reload the hopper to complement existing opportunities. And this quarter, we announced new license awards in Nigeria, in Republic of the Congo and in Liberia. Moving to integrated LNGs. Third quarter LNG sales of 10.4 million tons were essentially flat quarter-over-quarter as third-party purchases offset lower sales from equity production. Cash flow of $1.1 billion was in line with the second quarter in a stable price environment with an average LNG price of around $9 per MMBtu. Adjusted net operating income of $0.9 billion was down 18% quarter-over-quarter, primarily due to the planned turnarounds at Ichthys LNG in Australia that impacted production by around 50,000 barrels of oil equivalent per day for the quarter. On the price outlook, forward European gas prices continue to be sustained at around $11 per MMBtu for the first quarter of '25 and winter of '25, '26 due to anticipated winter demand. Given the evolution of oil and gas prices in the recent months and the lag effect on pricing formulas, the company anticipates an average LNG selling price of around $8.5 per MMBtu for the first quarter of '25. On the advancement of our LNG strategy, we are pleased to continue to grow our U.S. presence with the recent FID on Rio Grande LNG Train 4 in South Texas, and we enhanced resilience in our LNG and gas to power strategy by acquiring interest in shale gas assets from Continental Resources in the Anadarko Basin in the U.S. Turning to Integrated Power. Net power generation increased 9% quarter-over-quarter to 12.6 terawatt hour due to increased output from flexible generation capacity in Europe. The value of TotalEnergies unique integrated model is illustrated in the third quarter financials. Total cash flow from operations was $0.6 billion, up 9% quarter-over-quarter and in line with annual guidance. To provide more granularity in the Integrated Power financial performance, this quarter, we disclosed the split in cash flow between production assets, renewable and gas-fired power plants on one side and sales activity, B2B, B2C and trading on the other side, showing that each contributed equally this quarter. During Q3, Q4, sorry, sorry, during the third quarter, the company has executed well on the farm-down side of its integrated power business model, which contributes capital recycling and will generate a tailwind for free cash flow in the fourth quarter. The company signed an agreement for the sale of 50% of the 1.4 gigawatt renewable portfolio in North America and closed the sale of 50% of 270 megawatts renewable portfolio in France. These deals have a combined cash impact of around $1.5 billion. And in this deal, TotalEnergies retains a 50% stake in the assets and will continue to be the operator after closing and to offtake 100% of the [indiscernible]. This is in line with our business model. As an important reminder, our attractive upstream growth is not the only contributor to the company's resilience. Integrated Power will take the key role in this too, since it is differentiated and growing cash flow stream that is outside of crude cycles and with strong demand fundamentals. Moving to Downstream. As Patrick mentioned, during the third quarter, Downstream efficiently captured the high refining margins in Europe and contributed to the company's resilient financials. Third quarter adjusted net operating income of $1.1 billion, was up more than 30% quarter-over-quarter. Cash flow of $1.7 billion was up 11% quarter-over-quarter, thanks to good availability of assets that allowed us to successfully capture improved European margins. In terms of free cash flow during the third quarter, downstream cash flow from operating activities exceeded net investment by over $2.5 billion. In Refining, the European Refining Margin Marker strengthened during the third quarter due to the tension on the diesel supply chain in the context of low inventories. Utilization was 84%, which was towards the high end of the guidance range of 80% to 85%, and it reflects efficient operations and planned turnarounds at Port Arthur in the U.S. and HTC in Korea. In Marketing & Services, results remain consistently strong with high-margin activities, offsetting lower volumes. Looking ahead, we anticipate refining utilization of 80% to 84% in the fourth quarter, which accounts for scheduled turnarounds at Antwerp and SATORP. Moving now to the company level and starting with working capital. As expected, we benefited from the working cap release during the third quarter, which was a $1.3 billion positive contribution to cash. Furthermore, for the fourth quarter, we anticipate another positive contribution. On net investments, they meaningfully decreased to $3.1 billion in the third quarter, which includes $0.4 billion of divestments, net of acquisitions. In the fourth quarter, as mentioned by Patrick, disposal are estimated to total $2 billion, including the closing of Nigeria and Norway divestment for exploration and production as well as farm-down of renewable assets in North America and Greece for Integrated Power, and we reiterate full year of '25 net investment guidance of $17 billion to $17.5 billion. Based on anticipated net investments and working cap, we expect gearing to decrease to 15% to 16% at year-end compared to 17.3% at the end of the third quarter. With that, Patrick and I are now available to answer your questions. And the operator, so please open up the line for questions.
Operator: [Operator Instructions] The first question is from Lydia Rainforth, Barclays.
Lydia Rainforth: Two questions, if I could. The first one, can I just get your clarification on where we are on the tax issues in France. I've seen headlines this morning about tax on share buybacks, what that actually means? And then the second one, I think, Patrick, this comes back to your point around the growth in production is obviously doing quite well, but also the growth in cash flow numbers. So when you're thinking about 2026, can you just -- can you give us an indication as to how much more cash flow might grow than production for next year? And just remind us of that.
Patrick Pouyanné: Okay. Good morning, good afternoon, Lydia. Well, first, as you observed, there is quite a huge -- quite a big fiscal creativity in the French parliament these last days. And clearly, the full recipe will not work, and we don't know, and so be careful not to overreact to the night news. There was a super tax on multinationals, which is completely out of the rule of law. France has signed 125 fiscal agreements with many countries. The principle is no double taxation, and this is very anchored, and as the government reminded to the parliament, this is the right rule. So we will not be touched by that. And there is also in the constitution some already decision when you want to tax above what is reasonable, then there is this type of taxations are not approved or canceled. So honestly, the situation -- political situation in France is not very stable. There is a huge debate, making a lot of noise. But I trust that at the end of the day, we will land to a reasonable avenue. And as you all know as well, we -- TotalEnergies does not make a lot of benefit in France, so I would say we'll follow this debate. But again, I'm comfortable with the fact that at the end of the day, government will take the right decisions to maintain, in fact, which is fundamental, what we call the supply policy to you know if you want -- before you redistribute in a country, you need to create wealth. You need to produce. You need to create results, revenues and then you can speak about distribution, and we will come back to that. So I understand that -- and I think, by the way, that this situation in France is weighing on the share price of TotalEnergies, but I remind you as well that we are a global company. And that again, largely 90%, 95%, I think, of our cash flows and our results are not coming from our country where we have the headquarters. So again, I think we -- from this perspective, the profile of TotalEnergies is quite different from other French companies, and that market should integrate it. For 2026, honestly, Lydia, you are asking me a question to which I will answer more precisely in February. As we know, we have a meeting for annual results, and what is the plan for '26. So I mean, my -- as I told you, in New York, we anticipate a growth of 3%, more than 3% for '26 again. For the cash flows, I don't have all figures. Of course, it's related to the new production coming on stream. But part of the, I would say, new production of '25 like the Brazilian production will have the full effect in '26. So I anticipate another accretive effect on our -- accretive effect, the size of it, I mean, you have to be a little patient. But again, clearly, we are in a delivery mode. We delivered the production growth more than 3, then this year, probably it will be next to 4, in fact, at the end of the year 3, 3.5 to 4 for '25, next year, at least 3. And then let's deliver the, okay, the accretive cash. But this is a road map, not only '25, '26 for the next 5 years. And if they miss, we reminded you and we, I think, gave you comfort during the New York presentation that we will deliver this $10 billion of additional free cash from all our segments from -- in the next 5 years.
Operator: The next question is Michele Della Vigna, Goldman Sachs.
Michele Della Vigna: Congratulations on the strong growth. Two questions, if I may. First, I was wondering if you feel like you're able at the moment to capture the extraordinary refining margins we are seeing, and how the improvements to your Port Arthur and Donges refineries are progressing? And then secondly, I was just wondering what you're seeing in terms of disruptions of the Russian volumes following the latest sanctions and if you start to see an impact on the physical market through your trading and optimization division?
Patrick Pouyanné: Thank you for this question, Michele. To be honest, when I read again our press release, I think we are a little bearish on the oil price and the refining margins. The refining margins that we captured since the beginning of October for the last month is around $75 per ton. So when we guided you it's above $50, I think we are a little shy. And in fact, it's fundamentally linked because we begin to see real impact in the market of these last Russian sanctions. I think the market is underestimating what it means when you have U.S. sanctions, 2 large Russian company, which are at the core of trading Russian oil, by the way. And when Europe say that we are targeting countries which are considered, I would say, dangerous like India, Turkey and China. But if you trade oil or products from these countries, you could be under sanction. The reaction today in the market, and I shared some views with some of my colleagues, including in -- I was in Riyadh last 2 days, I can -- clearly today, trading hours as well are more cautious. And we see that everybody is taking this risk very seriously, including secondary sanctions, which might become. And so I see some impact. And I think clearly, the refining margins today instantly is more around $100 per ton than the $75 as an average. And it is linked clearly to, in fact, this sanction will oblige to reroute some volumes and to find a way to bring, I would say, products and crude oil more expensively to the different locations of the planet. So I think this is clear. That also could have an impact, by the way, on the oil price. I mean, the crude oil price. We've seen a reaction whatever announced today, it's still $65, but $65, I think, is a good assumption for this quarter, maybe a little more. So I would say, more bullish, that's what we wrote a few days ago because I begin to realize that these sanctions will have a real impact in this market. And most of the players are becoming -- are taking them seriously, which is good, by the way. TotalEnergies, we stopped trading any Russian oil for -- since end of '22, somewhere we penalized ourselves compared to other practice. But I think it was the right way to comply and to be strict on the Russian sanctions. So capturing the refining margins, for sure, the good news of the third quarter is that we managed to do it. We had a turnaround in Port Arthur, which is done. So it's fully back online now. Donges as well is running. So let's not fully -- not the last equipment we are waiting for by the end of the year, but it's running. So we deliver results. The third quarter -- fourth quarter, we have 2 turnarounds, one in Antwerp, one in SATORP, which are 2 big machines in our results. But I expect -- I would -- I expect that this will be, I would say, compensated again by the other assets and by the fact that the margins are higher. So I'm positive. And when I gave you a guidance of $27.5 billion or $28 billion, I was maybe too bearish by stating $27 billion in New York. It's because as well, I integrate these elements, which again and the duty and all the organization of refining chemicals and rest of Total are dedicated to capture these margins, which are good. So this is where we are, and I'm bullish on that.
Operator: The next question is from Doug Leggate of Wolfe.
Douglas George Blyth Leggate: I wonder if I could start with your upstream margin. The volume guidance is, again, pretty strong for Q4. But what we're -- I guess what we're observing is that your upstream margin seems to be moving up as well as the volumes. And I'm trying to understand what happens as the mix changes going forward. So for example, Iraq never historically had great margins. So how do you see the margin mix continuing as the growth trajectory sustains over the next several years? That's my first question. And my second question, if I may, is a quick one. Oil appears still to be in a very technical market. So we all see the oversupply, but it seems to keep bouncing around that 60 level. I guess my question is, if you ended up with better cash flow than you thought when you reset the buyback, what would be the first call on cash? Would it go to the balance sheet to continue deleveraging? Or would it go to the higher end of the buybacks?
Patrick Pouyanné: The second question is clear. It will go to the balance sheet. So the second answer, I would say, is clear, will go to balance sheet. It will go to the balance sheet because I observed that -- and I have spent quite a lot of time with investors in the last month and clearly, I would say, long-term investor, deleveraging balance sheet is important for all of us. And if you want to be -- the best buyback policy would be to countercyclical. To be countercyclical, you need to have a strong balance sheet. So that's the position I would take and give you. So consider the guidance we gave you, we gave you quite a good guidance, and we told you [ $0.75 billion to $1.5 billion ] between $60 and $70, $2 billion at $80. But -- and I'm answering for '26, to be clear. If we continue and we see the plan to deliver more and more free cash on the road map to $10 billion, then we might revisit this scheme. But today, in '26, if it's coming, in your case, if we are above $60 in '26 or above $70, then we will continue to deleverage. Upstream margins, no, Iraq is a good contract. So I know historically, but it's not at all the case. As we always -- I mean, as I told you, we are far away from the historical service contract. We have -- when we came back in Iraq, it was clear that either we had a good contract, a strong contract, it was a matter of risk and reward and in particular, the Iraqi contract is quite reactive to the oil price. We capture some upside on it, which, of course, is important. We benefit in Iraq from quite low-cost production. So the breakeven is low. And so it will contribute. The Iraqi barrels, don't make a mistake, are contributing to the increase, are accretive. And again, I can give you -- but I think we gave you in New York and in fact, the base barrels at an average around $19, $20 per barrel. And today, these new barrels are more between $30 and $40 per barrel. So it's why we have an excessive growth in upstream. So I think you will continue to see, again, the free cash flow from upstream will move quicker than the growth of production.
Operator: The next question is Biraj Borkhataria, RBC.
Biraj Borkhataria: Firstly, nice to see that production growth being -- the accretion coming through. That really is a differentiator. Two questions. The first one is on the divestments for the year. I know you mentioned Nigeria in the $2 billion. I believe there was -- there were 2 deals that you're planning to do, one of which wasn't approved. So could you just outline whether the SPDC side, that sale was -- is that in the $2 billion, or is that on top of the $2 billion? And then secondly, recently, you signed a letter with a number of other CEOs around European competitiveness. I was just wondering if you could talk about whether that letter has actually catalyzed any kind of response on the policy front? Any color there would be helpful.
Patrick Pouyanné: What is the second question? Sorry, I didn't catch it well. Oh, okay, I understood. I know, I know, I know. Okay, understood. European competitiveness. Okay. First, on divestments, I will be very precise with you. The $2 billion, I will give you where it's coming from. We intend to close, and we have already closed some of them, but we are intending to close. And all I think we have signed, and we are in the process, and it's a matter of closure. The Bonga divestment in Nigeria, Norway, the satellite Ekofisk field, some renewable assets in the U.S., renewable assets, which we announced in Greece and as well, we have another project where we will -- but I cannot yet disclose to you guys, another $300 million, which will be announced soon. So it's a $2 billion. This but does not include to be precise, the SPDC JV divestment, not only because of what was approved, but because we -- in fact, we were not able to close. There were some conditions precedent on our side. And we consider that it was not reasonable to close with, I would say, the supposed buyer. So we have relaunched -- not relaunch, we are discussing today. We have advanced discussions with 2 additional -- 2 new buyers, which are, I think, serious ones. And so -- but we will not be able to be clear to answer your question, to close it before this quarter. So it's for next year. By the way, it's good because it's part of the plan for next year. So from this perspective, what we have observed is that divestments of E&P assets generally takes time. It takes more time even if we have demonstrated with our divestment in Argentina that we were able to sign and to close in the same quarter. So sometimes it's going quicker. But -- so the plan is clear. We will -- and we have some interested buyers and serious buyers on it. So we are working on this one. There are others, like I mentioned to you, other IDs for this year and next year that I mentioned in New York on which we work as well. On the European Competition letter, the answer you probably follow that some tweets are linked in. European leaders are not really -- I mean, are listening to our request. They have been, I would say, we had some calls, we had some discussions with some European commissioners who took the letter seriously from 40 CEOs, to say, look, probably understood. I think we are maybe asking them too much, but I think it's a sort of wake-up call from these 40 CEOs. We, myself and the Siemens CEO, we are the spokesperson. Let's be clear, we were just reflecting what people expressed during our meetings between French and German CEOs. I've seen that on some topics, which are, I would say, more -- giving some more poly mix. There have been some calls that were not only from European CEOs, but from U.S. Energy Secretary and Qatar Energy Minister to call to revisit some of this legislation, which seems to be, in fact, against competitiveness. And again, for some of them putting at stake the security of supply of Europe. So I think this is something which is serious. And we are European CEOs, and we, of course, want to continue to contribute to Europe development and growth. But to do it, I think it's also our job to speak up when we consider that conditions are changing and it might be difficult for us to contribute to European prosperity. So it's a moving -- it's a continuous, I would say, fight, but let's contribute to it.
Operator: The next question is from Martijn Rats, Morgan Stanley.
Martijn Rats: I've got 2, if I may. First of all, what I thought has been sort of really surprising this year is the strength of new LNG FIDs. Already 1 year, 1.5 years ago, many of us were writing reports about the surplus in the LNG market in the second half of the decade, and yet 2025 has been a near-record year of new LNG capacity to be commissioned. And Total still has a few projects that needs to decide on. I was wondering if you perhaps could share with us your thoughts on despite the outlook, the number of new FIDs being as strong as they are and also how it impacts your own decisions in terms of future LNG FIDs? And the second one I wanted to ask is about the shares and the equivalence between sort of the Paris shares and sort of U.S. shares and so consolidating this into one single class of shares. I was wondering if this could impact the execution of your buyback program in the sense that I was wondering if this is in place from December 8 onwards, as I now understand it, if some of the buyback program could be executed in sort of New York listed shares. And of course, the context behind the question is then also like if that could then be a way to avoid some of the proposals that have creatively been floated as I think you put it in the French parliament over the last couple of days.
Patrick Pouyanné: Okay. The second question on ADR. No, it does not impact at all the execution of the buyback program. I remind you that the ADR conversion is about around 9%, 10% of our shares. So obviously, the buyback program will be executed on the Paris Stock Market to be clear and so -- and not on the New York listed because it will be strange for us to buy back from New York where we want on the contrary to give more life to the New York market. So I prefer more activity and finding more -- we will buy back shares in New York when we will see we'll have much more active shares on this side of the Atlantic, I would say, so first point. And honestly, no, it will not -- by the way, it would not avoid in any way tax proposals. And again, the tax proposals are funny proposals. Again, there are some principles. When the President, Aurelien tried to impose -- by the way, he tried to impose a 3% tax -- extra tax on dividend, which was canceled by the European Union and by the French Constitutional Group. And all of us have recouped the money they took during 3, 4 years. So again, there are some principles. We are in a rule of blue continent and a rule of blue country. And this is the reality. So you must make a split between the political debates which are quite vigorous, I would say, and very creative and the reality of the rule of law, and we know that there is some limit. And when I see the figures, and I will tell you what I'm thinking, the higher it is, the better it is because then I'm sure it will not go through the system. So I mean I'm -- that's the reality. And there is -- you can -- in the constitution of -- French constitution, you cannot deprive people unreasonably to their -- rest of their profits and the results. And buybacks are not at all a profit. Buyback, it's just a matter of distribution. And by the way of investment in the company. We invest in the company. So I mean, I'm ready -- again, I think it's a topic on which I'm ready to continue to explain to parliament members with our buybacks. But I think we'll -- again, don't overreact to this type of, I would say, news. And I'm afraid we'll have all the news during the next 30 days coming from the parliament. At the end of the day, I trust the government.
Martijn Rats: And on FID?
Patrick Pouyanné: First question, FID, sorry, FIDs. Okay. I mean I'm not sure. I mean, there was a lot of announcements. I'm not sure about how many FIDs exactly because between the announcements and you have a flows of news of projects being revived because they get the permitting, or they get the approvals for non-FDA countries export from the U.S. administration. So you have a news flow coming. Then FID, I know Train 4 and 5 in next decade, yes, I know them. I know that 1 or 2 competitors are serious and are progressing because as I said in New York, all these projects, they need to find the financing. To find the financing -- and again, an acceptable -- a good financing, a good financing, not an expensive one. Otherwise, you will destroy the value on Train 4. We managed to put in place a project financing at Rio Grande 6.4% around 6.5%, which was good -- good project financing, which has the leverage on it. Other projects does not have the same good finance, I would say, Rio Grande and Rio Grande LNG. So then, of course, I agree that we need to take that into consideration. We have a strong policy, a clear view. We decided to transfer most of our exposure on the GKM, I would say, LNG spot market to the Brent formulas, and we have been active. I think we are very right to do it. I'm more bullish on the oil price, as I explained that on this one by the end of the decade. So of course, then we need to assess and to take into account that we postponed Cameron '24 because the CapEx were too high. It's not the time to run again on Cameron '24. And the other decision we have, in fact, in our portfolio is Papua and New Guinea. You know that we are working on the CapEx, to lower the CapEx. And it's clear that lowering the CapEx is of utmost importance in a market which could be from this perspective, weaker when we launch the project. So that's a topic on which we will have to work. And we have demonstrated already that we now have to be disciplined in that market, giving priority to, I would say, first and second quartile projects in our portfolio. And that's an element of -- which will have to be taken in consideration. By the way, we have announced that we lifted the force majeure on Mozambique. There is a funny figure, which is in some press news agencies, which speak about $25 billion. We are not at all, and I want to be clear and strong on this news, I don't know people are playing games, which is not acceptable. They have access to -- some people have relinquished a letter that I sent to the President of Mozambique. It's clear, it's written $20 billion in the letter, out of which $4.5 billion came from the -- what we spent in the last 4 years. So the budget in '20, when we left in 2021 was around, it was approved $15 billion, $16 billion. You add $4.5 billion, you are down to $20 billion, $20.5 billion. That's the reality of this budget. And by the way, this cost -- real cost, what we've done is that we spent -- we've done all the detailed engineering and all the procurement has been done. And so today, when we -- as soon as we fully remobilize everybody, we are purely in a construction mode. And that's why we said we are able to deliver the project by 2029. And so I've discovered some people were surprised. But in fact, we spent some money in order to, I would say, recapture part of the time, which was under force majeure. So the budget is not a total $25 billion, and I want to be strong, it's $20 billion, $20.5 billion as we will restart. And again, I can confirm it because we had long discussions, of course, with contractors. And so we have put all these figures together with them. And so -- and including on the delivery in '29, we have strong commitment. So we have realigned the whole system in order to be able to execute properly this project.
Operator: Our next question is from Kim Fustier, HSBC.
Kim Fustier: A couple of weeks ago at an industry conference, you mentioned that the LNG market is getting more competitive and it's harder to make money in trading. I guess that's not exactly a secret, but I was wondering if you could provide any more color on this. And I was wondering how much of the decline in LNG trading profits would you ascribe to heightened competition versus the more normalized conditions, lower volatility, lower spreads, et cetera? And then I also wanted to come back to the EU sustainability rules. I mean, I suppose let's see if the EU rules could be amended, but if they broadly stick, then how would you ensure compliance with the CSDDD rules in practice? And then hypothetically, what would be your options if some LNG supply is deemed to be noncompliant, would you be able to redirect it?
Patrick Pouyanné: Okay. First question. I mean, to be clear, I think we made a demonstration in New York, the message is not that we have a decline of LNG trading. We told you that there were exceptional trading profits in '21, '22, '23 and that we are back to a normal environment with lower volatility. And that by the way, the results of '25 on integrated LNG are in line with '24. So I'm just that we don't benefit from the growth on this part at this stage. Later, we'll have a growth of volume, but this stage is stable. And in fact, they are quite related to the results of 2019 before this crisis. So I cannot -- what is also true is that you have observed, like me, that there are more trading hours, which came to this LNG business because maybe we were considering we were making good money. But today, answering your question, no, it's just -- my view is that today, we have to -- we came back to, I would say, more standard revenues. And I hope, of course, the main growth for LNG trading profits from TotalEnergies will come from the growth of volume of assets. So we have a volume impact on our trading business, which will generate additional profits. And we made a mistake when we were planning 2025 because we were thinking that we could replicate the last quarter '24 in full '25, which is not the case. So I have to -- and again, because that's clear that the volatility in '25 from the gas, the European gas price moved between $11 and $12 MMBtu. So it's not a big volatility. By the way, I'm not unhappy because $11 or $12 per MMBtu from my Norwegian gas and my British gas and my Danish gas, it's a very good price. So I'm maybe -- so I mean, people -- we should not give an overweight to the trading business. Trading business is adding value, but the base business is in fact, our upstream and our production. So I'm happy to -- I prefer to gain $12 per MMBtu of profits on my North Sea gas and maybe a little lower volatility on the trading. So let's be -- we never -- we -- maybe because there was exceptional years, incredible years, '22, '23, again, '21, '23, you consider it was the new normal. We never said it was a new normal. We even told you, be careful. There are exceptional results each time we -- exceptional means exceptional. So that's what I want to comment. And again, I remind you and why I'm linking back to our growth volume is that the trading within TotalEnergies is trading around assets. It's an asset-based trading. It's not -- we don't take casino. No, it's not the case. So that's the base of what we do. There are more competitors. But again, we have more assets than others. So it will help our trading business. And I think this is the idea. This is fundamental idea of integration. It's because we have more assets, more volumes, but we have more medium and long-term contracts with Asia. This -- what we signed in the last year, these brand-related medium- and long-term contracts offer some optionalities to our traders. And the optionalities that we included in these contracts have a value. And this is why I'm linking that to my assets and my business. This is the base of it. And some competitors do not have the same assets and contracts. Then about the competitive sustainability rules, I mean, the question is not to have energy noncompliant has not been -- the CS3D does not define the compliance. The CS3D is a matter of putting in place some rules, but you have to have a duty of vigilance on the way on the supply chain. Some countries have been strong in the letter. I invite you to read the letter of the Secretary, Wright and Minister, Al-Kaabi, if you didn't read it, they sent a letter to the European leaders telling them if you keep that in place, we will not deliver -- we will not take the risk to deliver LNG to Europe. I would say, it's -- if we don't have LNG coming neither from the U.S. nor from Qatar, we have -- my European North Sea assets are taking a lot of value. So I'd say it's not. I mean -- so it's not a matter of compliance, a matter of legal risk because, in fact, while you may be compliant is that in this CS3D if you were found guilty by a judge, your penalty could be up to 5% of your worldwide turnover, which is just crazy. So the sanction size is completely disproportionate to, in fact, a rule which is against, of course, basically, we are all -- we are for human rights, but you can ask efforts to company to control the supply chain, but we don't control everything. But if you transform, supposed not enough vigilance in such penalty risk, then it's completely disproportionate. And this is a call coming from these 2 countries. So for me, so again, we'll -- and I consider to be honest, that what we -- when we produce LNG in the U.S. as we are the largest exporter of U.S. LNG, we are fully compliant with the duty of vigilance law with all what we produce in the U.S., in Qatar as well, by the way.
Operator: The next question is from Matt Lofting, JPMorgan.
Matthew Lofting: I wanted to follow up on your earlier comments on the refining portfolio, 80% to 84% utilization in the fourth quarter looks towards the lower half of the historical range. Obviously, from a near-term perspective, planned turnarounds and maintenance need to be done and undertaken. But when you look forward into 2026, how do you see the normalized throughput of the business now? And has there been any deterioration in that normalized level versus what you saw and how you saw it, say, 2, 3 years ago?
Patrick Pouyanné: Yes. I think -- so maybe we are cautious. Again, we were cautious on the $50 per ton. Maybe the 80%, 84% is just as I told you, we have Antwerp and SATORP, which are 2 big machines we have entered into a large planned turnaround, so they execute. But of course, it has an impact on the global, I would say, delivery from our portfolio. Let's say, you can keep -- if you take 82% this quarter, I think we were at 84%. Maybe the 82% is probably the mid average of the guidance, probably the right one to take into account. But I told you that it will be more than compensated with capturing better margins on all the other assets. For next year, we are more in the range of 84%, 86%, I think, for our budget. But again, I don't -- I didn't begin to look to what our colleagues are planning. So I'm waiting to see, but I think there are less turnarounds next year. So we should have -- from this perspective, it should be a better year. And as well -- and again, as we mentioned to you, there were some, I would say, difficulties before the turnaround on Port Arthur, turnaround is done. So we expect to have a better survivability. And on Donges again, we intend to put into service these new units, which will enhance the margins on Donges by beginning of 2026. So from this perspective, the perspective, if the refining margins remain at quite a good level, we will be able to capture even more than this year.
Operator: The next question is from Irene Himona, Bernstein.
Irene Himona: My first question is on marketing, if I may, because your unit margins were up this quarter. And I wonder if you can talk around the drivers of that margin improvement, whether it is structural or temporary? And then my second question, I noted this quarter, you signed some partnerships on the deployment of AI and a global data platform. I obviously don't have the context of your ongoing digitalization effort. I wanted to ask whether it is correct to look at these partnerships perhaps as an effort to speed up and widen the digitalization you have been working on for a number of years.
Patrick Pouyanné: Yes. I'll take the second question, first. As I told you -- we told you, yes, we have -- and I think it will be a topic on which we could focus more on what we are doing. In fact, since 2020, we put in place a digital factory in a bottom-up approach with 300, I would say, data experts or data scientists and at a very high level, a good team. But what we observed is that if we want to deploy these new technologies, which are speeding up on a worldwide basis, going from a bottom-up to scale up is difficult. So we decided that it's time now to have a broad effort, a worldwide effort on organizing all these data because there are plenty of data on platforms in refineries, but all that is not connected. And if you want to really, for example, enhance your linear program in refineries, it's the best would be to have access to all these data to develop new tools in order to enhance another additional percent of, I would say, use of the refinery and better margins. So we have engaged with 2 large programs, which are quite an investment, an investment on the platform with Emerson, which is called, I don't remember the name now -- with Emerson in order to -- Inmation - in order to connect all these physical data to, I would say, a large database all physically, and it will take 2.5 years, 3 years to deploy because we need to go on all the sites. We know where the data is, but we need to connect them and then they will be available. And we have also engaged in a very large worldwide program on the E&P side with Cognite, which is, in advance, I would say, from digitalization, and we have made some different pilots with them. Now we are all convinced. So another big program to equip, to deploy this Cognite software, which obviously will help us to really accelerate the use of AI. So for me, 2025 will be the year where we have really decided to scale and to go from a scale and to take some large worldwide program to give us the capacity to take the most of these new AI tools. It will take a few years to install all of that. But if we want to be efficient, and I'm sure -- and it's not cost cutting in our case. It's more additional revenues. If we -- if I can with advanced process control tools, thanks to AI, produce 1% more of all my oil fields and my refineries, I can tell you, it's quite a lot of free cash. So it's worth making the investments, and this is where -- what we have done. On marketing, so I think there is different drivers. But again, fundamentally, the strategy which is put in place in marketing is value over volume, which means not chasing the additional growth, even it's difficult for marketers. They love to show you more tons. But what we discovered is that it's quite mature markets. They are mature markets. Whatever in European market, it is mature, the lubricant market is mature. So it's very difficult to gain market share. The only way to do it is to do it at the expense of margins. And what we have decided is to enter into a policy, which is a bit higher margins and not less volumes, but not to sacrifice, I would say, the margins at the expense of the volume. And this is why, by the way, if you observe our results, we have sold our network in Germany and Netherlands and half of Belgium. There is not much impact. In fact, because we have managed to absorb it, I would say -- so it's also because fundamentally, in marketing, we have decided to divest or to stop when -- not divest, but to stop a business, which was very low margin, which was, I would say, sharing some logistics assets with which we were creating a lot of pass-through volumes, but with a minimum margin. So this has been reduced because it was not really adding money. It was quite using a lot of people. So structurally -- so answer to your question is that structurally, we are in a mode to enhance the margin on Marketing and Services. That's where we are. And this will continue. I hope I am clear.
Operator: The next question is from Christopher Kuplent, Bank of America.
Christopher Kuplent: Patrick, I wonder whether we could talk about another area of French creativity. There is an idea floating around that we should remunerate electricity or wholesale power prices differently. What can you tell us, is current appetite for signing new PPAs? How has that market evolved considering that rather interesting regulatory backdrop? You've recently signed a project deal with RWE in France, but also have some considerable CapEx left to go in Germany on the offshore wind front. So maybe you can put things into context and give us the risk reward behind taking that regulatory risk. And then you've mentioned it already. I just wondered whether you could give us an update on how quickly we should expect news from Mozambique on the ground now that the force majeure has been lifted.
Patrick Pouyanné: On Mozambique, as you -- again, we have lifted the force majeure. We are now expecting the government to approve our new plan and budget, and we are remobilizing the contractors in order to be able to execute the project within this schedule with time work -- time table of 2029, and that's where we are. So I think, consider we are moving on. On the first question, it's a complex question because I'm not sure to have fully understood. Let me be clear, I'm not in favor of regulations and regulatory approach. We are more merchant people. We like the market. So for us, that means that signing PPAs is the best way to commercialize, I would say, our assets. And so -- and we know that we need -- in Europe, you need to sign when you develop, I think you were referring to offshore wind. We signed a contract in France at $65 or $66 kilowatt or megawatt hour, which is a contract, by the way, which the price can be adapted if the CapEx are higher. So the price, the CapEx risk is, in fact, covered because we could -- we have -- not only we have given the price, but the CapEx linked to the price. So that's a protection. It's also partly inflated through the OpEx. So -- and at this level, honestly, we can develop an offshore wind project in Europe because it is projects where, in fact, the connection is developed and paid by the TSO, not by us. So we are only in charge of the plant itself. But again, we follow that. I think today, there are many creativity there again in different circles. All that we are in a European market, European market, is a unique European market, which are some -- fundamentally driven by some market rules, in fact, -- and when I discuss with European authorities, I see little appetite from -- in the commission to put into, I would say, even in some countries like Germany, we believe in the market to change the rule of this, I would say, electricity market. So again, that's a debate. But I'm -- and you know, by the way, in France, the same people who were complaining about the famous system of nuclear commercialization, which was called RN 2 years ago, now are complaining of the new system. So people will never be happy. What they want is electricity for free, but that's difficult. At the end, we need to invest. And if everything is too much regulated, it will be against investment and Europe desperately needs to invest more in renewable gas-fired power plants, grids if we want to ensure security of supply, but the reality, so you cannot get both. So I think I would say I trust there again the political leaders, which are spending a lot of time on this energy story to take the right decision and not to be complacent.
Operator: The next question is from Lucas Herrmann, BNP.
Lucas Herrmann: And another slightly generic question, but I just wanted to ask for your sort of thoughts on the one part of the complex, which is really having a difficult time, chemicals and the extent to which when you talk within -- when you look at the industry, look at where margins are, you're starting to see better signs of movement to try and restructure not necessarily your own business, but business across the industry so that we might actually move to a place where profits start to improve. And as ever, I mean, if you could give us some indication of the extent to which the associates line within -- well, the profit within the Refining and Chemicals business, what proportion of profit actually comes from chemicals now given just how difficult the environment is?
Patrick Pouyanné: Okay. I'm not a chemical company. We are refining and petrochemical company, and we make crack ethylene and polyethylene basics of...
Lucas Herrmann: Sorry Patrick, that's what I'm referring to.
Patrick Pouyanné: No, no. But just to tell you, the truth is that you know the situation. The situation is that, in fact, in terms of cracking capacity, ethylene capacity, China in the last 5 years went from 50 million tons of cracker to 100 million tons of cracker. And so they have, in fact, almost self-sufficient. So if they were moving from a large importing country to almost self-sufficient, even exporting. So of course, that changed the world patterns. By the way, Chinese companies also suffer from the situation, but other places suffer from the situation. For me, I've always been very clear with you. If you want to invest in petrochemicals, you have the fundamental matter or fundamental competitive factor is feedstock. Either you are an ethane, cheap LPGs in the U.S. or in the Middle East, or you will face difficulties. So that's the situation. So we know that our naphtha crackers in Europe are facing competition, which is super difficult, either from the U.S. crackers or from Middle East. By the way, TotalEnergies, since I'm CEO, we have invested in 2 crackers, one in Port Arthur, with [indiscernible] one with Amiral in Saudi Arabia. So consistent with that's what we -- I think fundamentally. And we are shutting down some crackers like the one we have just decided in Hamburg. So that's my view. To come back on the proportion, I don't know, it's not big. It's not good. I have no miracle recipe compared to my competitors on this one. But again, it's not a major part of our downstream results and cash flow. So most is coming from refining and trading rather than -- more than chemicals. But again, it's part of the integration. When the margins are good, we are happy to capture them. But again, the fundamentals, let's invest in the U.S. and in the Middle East. That's all.
Operator: The next question is from Peter Low, Rothschild & Co. Redburn.
Peter Low: The first was just on integrated power. The ROACE has been below 10% for a few quarters now. How confident are you of hitting your 12% target? And really, what are the steps to get it kind of up to that level over the coming years? And then perhaps just a follow-up on the kind of proposed EU ban on Russian LNG imports from 2027. I think you said in the past, you'd expect, you'd be able to divert your Yamal cargoes to alternative markets outside of the EU. Is that still the base case? And what you expect to happen?
Patrick Pouyanné: First question, I think Stephane Michele in New York gave you some answers to that. We never told you we will hit 12% tomorrow, we told you it's a 5-year plan going by the way, from 10% to 11% from 11% to 12%. Part of it, as I told you, is that today, we have a sort of burden on our capital employed because we have, I mean, acquired a large pipeline of projects, which are, of course, nonproductive, I would say, capital employed assets, which will be because we continue to grow. We have a growth of 20% per year, and we will execute, which will, of course, as we don't intend to make large M&A on this part, not which will transform, I would say, nonproductive assets into productive assets. So part of it is that. Then the second part, that's 1%, the other percent will come from, I would say, rationalization, better use of the assets, industrialization, and this is what we are doing. We also, I think, framed, in New York, a clear road map by concentrating most of the investments of Integrated Power on some major markets, the oil and gas countries, which are in E&P. And then the rest, we are clear, but where we don't see potential to contribute above 12%, there is no future for them in the portfolio. I mean, so that's -- I would say, in a way, what we told you, it is a recipe to go to 12%. So honestly, today, we are a little lower than 10%, but we will recover from it. And don't forget that the contribution from farm-downs, they will come in fourth quarter. So all that will give you color. But I would say I'm there for -- we will raise the 10%, and it's a 5-year journey, but I'm happy with the development of this business. The next target is to be for me net cash positive. As soon as we are net cash positive, I'm sure that the valuation of this part of the business will be better because when I will tell you, this business is contributing to your dividend, it's a way to have a better leverage on this business. And we plan 28. If we can do 27, we are working on that. EU ban on Russian LNG, honestly, there have been a new regulation, which needs to have some clarification because there is some language there we need to understand what it means exactly. Like by the way, when EU banned oil in 2022, '23, it was the exact situation. There was a regulation and the LNG regulation is copy-paste of the old one. There was what they call FAQ where you need to have answers to clarify what is the real scope of ban. For sure, the ban is not going any more Russian LNG in Europe, but we want to be sure that the ban is not larger than that. So before to answer your question. And otherwise, yes, in this case, we have a commitment. If there is no further, I would say, ban, I cannot choose a force majeure to cancel the contract. If I don't have force majeure, I am committed to offtake some cargoes. We are looking to that, precisely today, our lawyers are working, to be honest. We have -- which -- because, of course, for us, the rule is to be sanction-compliant to be clear. So our lawyers are working on it. It's a fresh regulation, so I don't have the full clarity. And I don't want to make more answering longer because I could say something which could become wrong if the lawyers -- and again, if we have to be -- we are always at the Executive Committee on the cautiousness side, I would say, from this perspective. And so I'm waiting to see the report and to understand exactly the scope of the new EU regulatory.
Operator: The next question is from Paul Cheng of Scotiabank.
Paul Cheng: Two questions. I want to go back, Patrick, in your answer to the question of adoption of AI, you think that is fairly sizable investment. Can you quantify how big is the investment over the next couple of years and whether you have sufficient talent within your organization to really adopt or that you need to go out to hire? And at this point, it seems like it's pretty difficult to get the good talent in the AI adoption area. And what is your target in that what you aim to get from AI over the next, say, call it, 5 years? The second question is Yes. The second question is on Iraq.
Patrick Pouyanné: Move on with your second question, sorry.
Paul Cheng: Okay. Sorry, Patrick. Second question is Iraq. Can you tell us that how is the situation on the ground? I suppose that the security is good enough for you to deploy your people. So what's the bottleneck or the barrier for Iraq to significantly increase their production at this point? You and some of your peers that are rushing in and signing contracts. And if you think that those contracts, the terms are good. Is there a concern that Iraq could turn into a major production growth area, which in turn is going to depress oil prices over the next several years. So just want to hear how you think about that.
Patrick Pouyanné: First question, AI is the program I mentioned when I -- represent more or less EUR 300 million, so $350 million, I would say, worldwide. So it's quite an investment in these data platforms at the worldwide level, first comment. Second comment in terms of people, we have some assistance from the Emerson guys, AspenTech or from Cognite. But remember that we have 300 -- digital factory with 300 people. And of course, we are using part of these people to help to deploy the program. They are there, they are available. They know about it. We have built these competencies in the last 5 years, the second answer. The third answer is that there is a nice country in order to get access to good, very high competencies with not so high cost, which is called India. So it's also a way for us to, in fact, grow in the digital. For us, we are looking today to -- we need to grow, I would say, our technical competencies and in terms of people to have more resources in the side of electricity of power and in the area of digital. And today, we are seriously thinking to enhance or to grow our presence there, and we speak about -- we are discussing about competence center in India. It's part, by the way, of our way as well to contribute to the, I would say, cash saving program that we mentioned. So this is the area. So I know it's a point. But in fact, what I've observed is that we have been able to attract people in this field with a reasonable price. We are -- because we offer them some real, I would say, use case. We have very interesting use case. In the field of energy, you can use AI in many areas, so it's good. Iraq on the ground, it's okay. Otherwise, I mean, we just signed the full contract -- EPC contracts. If we were in doubt, we will not have done it. honestly, in the Basra area, the situation is good. I don't -- I can speak only for the areas where we are. And we have deliberately located our teams in the south of the country, in the Basra area because it's a more, I would say, united area, unified area from, I would say, in terms of Iraq. There are other areas that I would be more careful to be clear. But in our area, we are fine and no barrier. But the barrier partly is still security because you cannot -- what I say for Basra is maybe not true for the whole country, to be honest, and it's not true. And second, in fact, you need investment. And investments, you know the issue for Iraq, and again, I'm happy to have been the big company which came back first. But we went there in '21. We finalized the contract in '23. We will FID all the phases in '25, and we'll produce in '28, '29. So the cycle is 8 years. So I think we are maybe a little slow. I'm not sure because I can tell you it's -- all that is, in fact, from my point of view as a CEO, quite a remarkable journey in a new country. So I'm very happy with all the work the teams have done. I contributed myself by supporting them many times there. And I can -- but -- so when people think today that, yes, there is a potential in Iraq, it's clear, but it will not depress oil prices before many years. So it's good for the country. And again, the country -- and I know what will happen if there is more companies to come, the temptation will be to decrease the margins. And then again, it will not work. So that's the history. I hope the country has taken some lessons of what happened from 2010 to 2020. If we don't have the right reward for the risk we take, there is no investment. So that's a question of capital allocation. So yes, and that's why, by the way, to answer to your question, to be clear, if we decided to move to come back in Iraq in 2021, but we see quite a long perspective. And in my plan, in my view, Iraq will be a growth area for TotalEnergies beyond 2030, and we will work on other projects. So that's what I'm thinking. So I don't see an impact on the short term or short medium term. Thus potentially...
Operator: The next question is from Henri Patricot, UBS.
Henri Patricot: Just 2 on the topic of exploration. I think you have a new Head of Exploration since the start of the month. And I was wondering if we should expect any changes in your approach, exploration? And also on that topic, can you give us an update on the latest plans for exploration in Namibia and South Africa in the next few months?
Patrick Pouyanné: Okay. Exploration. I've been consistent since I'm CEO, I think there is one thing which did not change, which is the budget for exploration. It was $800 million to $1 billion. I put it as a sort of rule of the game when I became CEO because strongly, I think it was -- it's not because you spend more but you find more. At a certain point, you need to be efficient and oblige your exploration team to take searching. I'm happy, by the way, that the way Kevin has led this team during the last 10 years. He became Exploration Team Manager and Vice President almost the same time. He has, I would say, developed some ideas. The thing is, it is a long cycle in exploration. So when he told us one year ago that he has tried to do something else, it was fine for us because we thought it was the right time to renew, in fact, having the proper approach because, again, exploration is different business. Again, it's not a matter of dollars, it's a matter of IDs of which to approach. I'm very happy to have welcome in a company, Nicolas Mavilla, which is coming from a successful exploration company. He has, of course, had different -- himself has been educating in different environments of new ideas. He will have -- I told him that he's free to do and to let the team. It's not a one-man show exploration. It's a team building, quite a lot of people. You need to take the risk to explore, you need to build some consensus, but you can drive your people in different, I would say, directions in terms of concepts and being creative. So I think it's very good. I hope and I'm convinced that Nicolas will be able to have the same success that we had with Kevin in the last 10 years. But it's not a matter of money. It's a matter of ideas and then to make choices. And by the way, you noticed that in the last quarter, we have been active on taking some licenses back in Nigeria, which has been unexplored for more than 10 years. It's a pity. It's probably the most potential delta, it's probably the most prolific Delta in Africa. So no license were awarded. We are happy to have the first ones, 2 IOCs. We went as well to a country like Liberia. It's a new one. Congo is more mature, but we managed to get a license on which our explorers were excited. I hope they were fine. We'll have a nice gift for Christmas, we'll see. And again, we'll continue to explore in other countries. And so exploration, I heard during the [indiscernible] that it seems that some companies are rediscovering exploration. For Total, we never give up on exploration. I always consider it as part of the value creation. And again, listen to my colleague, not because you spend more, when you will find more. If you spend more, you actually take more risk. And if you take more risk, you have more disappointing wells. So it's a question of finding the right metrics. And I think it's good for an IOC, a major like us when we can drill 20, 25 wells per year, that's good. That's enough to find some nice wells. Namibia, South Africa; Namibia, that we have some exploration to continue to do, and we look to priorities also to develop business. And South Africa, you follow, like me, the news. There is a legal context, which seems to be more complex than in other countries. Each time we want to drill, we need to go to court. It's a little difficult. So we want -- but I think that the South African government has made some public statements that they want to find a way to go to ease the exploration. So we hope we will manage because, of course, for us, it's important. We cannot explore, we cannot spend money in a geography, if we have to face permanently courts and being -- and the permitting become really too complex. And because it's not only drilling 1 or 2 or 3 exploration wells, when it will be to develop. And we explore to develop. We don't explore just to find oil. So we need honestly, on the South Africa side, I hope the government will take the right decision as soon as possible.
Operator: The next question is from Jason Gabelman at TD Cowen.
Jason Gabelman: I wanted to ask firstly on CapEx trajectory. And it looks like organic CapEx has been a bit volatile the past few quarters. I'm wondering what's driving that quarter-to-quarter volatility. We've seen some other peers that have more stable CapEx that kind of peaks in 4Q. So wondering, moving forward, is this level that you're at now a better go-forward pace to consider? Or should we expect more volatility quarter-to-quarter? And then my second one is just on the ramp-up in production next year. You've previously guided to a reduction in reinvestment rates in 2027, which I suppose, implies higher cash flow ramping at some point next year along with new production coming online. So how should we think about that production and cash flow ramp next year and into '27? Is it back half weighted? Is it 4Q weighted? Just looking for kind of the arc of that growth.
Patrick Pouyanné: Jason, you are very quarterly driven there in your questions. But my commitment to you is the commitment of the company is the annual budget of CapEx. And by the way, it's an annual budget of net CapEx. It's organic CapEx plus acquisition minus sales, minus divestments. I think we have a long strong track record of being complying -- compliant with our budget -- annual budget of CapEx. I think since I've been CEO, I think, 10 years in a row, you don't see that we have not respected the CapEx budget, the annual CapEx budget. And again, what we told you today, and what we said at the beginning of the year, it will be $17 billion, $17.5 billion. And I can tell you, we'll land in $17 billion, $17.5 billion. As we told you that the net acquisition is expected to be at $1.5 billion. You can calculate yourself the organic CapEx for the fourth quarter. I don't follow honestly the stability of the organic CapEx 2 quarters. It depends on some projects when you put into production as we have done this year, all Mero in Brazil, Tura in Denmark, Ballymore in the U.S. Ballymore -- yes, Ballymore. That this means that this quarter, there was a lot of CapEx and then it's decreasing because you have put into production and some of our CapEx, some of our projects are ramping up. So it just -- so I'm not at all -- I have no KPIs to have a stable quarterly organic CapEx, to be honest. At the end of the day, my KPI is to be sure that we are within the annual budget. And if we can be a little lower, I'm happy. But it's -- but not so much I'm not happy because sometimes it means that some projects are late. So I prefer to really be in our budget. So first point. So sorry to disappoint, but it's not a major issue. I'm not in a -- I mean, to be clear, we are not in a company which makes short-cycle CapEx permanently, where you make -- you can maybe make more -- less volatility. The second one, I think the same answer to Lydia, if I remember the first -- beginning of the first question I have. You have to wait for 2026. Let's keep -- you have to be a little patient until February. We'll give you more color. It's clear that, again, we gave you a point, I think, in the chart of 2027 when we speak about reinvestment rate. So we told you that in '27, yes, I remember, the reinvestment rate will go down from 70% to something like 50%. It was a chart which was in the New York package and slide deck, sorry. And that's the reality. So that's -- and it's coming from whom? It's coming from, on one side, higher cash flows because we are delivering along the 3 years. So let's be clear, the figure of '27 means by end of '27. So it's a 3-year decrease. It's not beginning, I don't know which quarter. And it's an annual one. So it's at the end, to be clear. It doesn't mean that all the growth is backloaded. It just means that it's an average of the year '27. And it's coming as well from the discipline of the CapEx because we have your guidance is $16 billion. So it's both, will contribute to this reinvestment rate, which is lower by 20%. So if you have 20% -- if you are lowering reinvestment rate, it's good and it's consistent with the free cash flow per share increase that we have announced. So that's a way to explain why we will be able to increase the free cash flow per share because we have more cash and less CapEx. And that's what we want to -- where we want to embark all our investors who trust TotalEnergies. I think it was the last question. Yes?
Operator: There are no more questions registered at this time.
Patrick Pouyanné: Okay. So thank you to all of you for your attendance. I hope that all the analysis you've done will be reflected in the stock price. It was not the case this morning. But again, we are delivering. This is the message. We are delivering. We have a consistent strategy. We are just executing in. We deliver. And frankly, Board of Directors and myself as CEO, we are quite pleased with the results of this quarter because that demonstrates and again, that all what we explained you quarter and year after year is on the delivery mode and that free cash flow will increase. Thank you for your attendance.
Operator: Ladies and gentlemen, this concludes the conference call. Thank you for your participation. You may now disconnect.